Operator: Hello and welcome to the Vallourec Q3 and Nine Months 2024 Results Conference Call. Please note this conference is being recorded and during the conference your line is being listen-only mode. [Operator Instructions] Today's call will be chaired by Mr. Philippe Guillemot, Chairman of the Board and Chief Executive Officer; as well as Mr. Sascha Bibert, Chief Financial Officer. I'll now hand the call over to Mr. Connor Lynagh, Vice President of Investor Relations. Please go ahead, sir.
Connor Lynagh: Thank you. Good morning, ladies and gentlemen, and thank you for joining us for Vallourec's Third Quarter and First Nine Months 2024 Results Presentation. I'm Connor Lynagh, Vice President of Investor Relations at Vallourec. I'm joined today by Vallourec's Chairman and Chief Executive Officer, Philippe Guillemot; and Vallourec's Chief Financial Officer, Sascha Bibert. Before we begin our presentation, I would like to note that this conference call will be recorded and a replay will be available following the call. You can find the audio webcast on our Investor Relations website. The presentation slides referred to during this call are available for download here as well. Today's call will contain forward-looking statements. Future results may differ materially from statements or projections made on today's call. The forward-looking statements and risk factors that could affect those statements are referenced at the beginning of our slide presentation. These are also included in our universal registration document filed with the French financial markets regulator, the AMF. This presentation will be followed by a Q&A session. I will now turn the call over to Philippe Guillemot.
Philippe Guillemot: Thank you, Connor. Welcome, ladies and gentlemen, and thank you for joining us to discuss Vallourec's third quarter 2024 results. Before proceeding, let me draw your attention to Slide 2 where you can consult our safe harbor statement. Today's agenda is on Slide 3. I will start with the highlights of the third quarter of 2024, followed by an update on the market and commercial environment. Sascha will then take you through our third quarter numbers, and I will finish with our outlook for the fourth quarter and full year 2024. Let's look at the highlights of the third quarter of 2024 on Slide 5. In the third quarter, we maintained a healthy EBITDA margin similar to what we delivered over the past several quarters. This was driven by ongoing strength in the international OCTG market and the benefits of the New Vallourec plan and in spite of softness in the U.S. OCTG market. Based on our results in the third quarter and our expectations for the fourth quarter, we reiterate our full year EBITDA outlook of €800 million to €850 million. Fourth quarter group volumes and EBITDA will increase versus Q3 due to contributions from both U.S. and international tubes. We continue to generate significant cash flow. Our total cash generation was €130 million in the quarter, allowing us to reduce net debt for the eighth quarter in a row. Since 2022, the New Vallourec plan has enabled the group to reduce its net debt by more than €1.2 billion. We were pleased to announce last week the exit from the same work plan implemented in 2021, a major step in demonstrating the significant progress we have made since our financial restructuring. We have achieved our target balance sheet and are well ahead of our plan to reach net debt 0 by year-end 2025. Therefore, we confirm that the total cash generation in the third quarter and in future quarters will be subject to the 80% to 100% payout ratio we announced at last year's Capital Markets Day. We plan to announce a dividend proposal for our 2025 AGM with our full year 2024 results communication. Beyond these solid results in the third quarter, we announced our first strategic acquisition in nearly a decade with the acquisition of Thermotite do Brasil, which will strengthen our position in the offshore line pipe market. Operationally, we continue to progress our optimization program in Brazil and are very encouraged with the results so far. We also recently announced a change in our organizational structure with the creation of a new operations department and the promotion of Bertrand Frischmann to Chief Operations Officer. This move enhances the progress we have already made in making Vallourec an efficient, globally integrated operation. In Tubes, we continue to experience robust demand in international markets. In the third quarter, this was particularly clear in some of our key offshore markets. We announced 2 major awards in Brazil and Angola and our opportunities, both on offshore remain robust. In the U.S., we have observed a recent improvement in the OTG market with both significant recovery in our order intake and an increase in spot market pricing. I will provide more color on these points later. Let's move to Slide 6 to discuss our acquisition of Thermotite do Brasil. This USD$7.5 million acquisition will give Vallourec access to an increasingly essential technology for deepwater line pipe markets, where we tend to focus our line pipe activities. Thermotite is a strong fit with our portfolio and is well aligned with the value over volume strategy. Pricing for thermal insulation tends to be roughly equal -- to that of the bare pipe and comes with accretive EBITDA margins versus our group average. The deal is also compelling economically as we have executed it with an accretive transaction multiple, a clear geographic synergy and this solution has the potential to be offered on a significant amount of our existing life pipe volumes. Moving to Slide 7. I want to step back for a minute and discuss how we are progressing on the key objectives of the New Vallourec plan. Recall that we had 2 primary objectives as part of this plan, crisis proofing the business and delivering best-in-class profitability. With our significant deleveraging, balance sheet refinancing and our move to low-cost production hubs, we have achieved our objective of significantly crisis proofing our business. Here, we look at the second of this objective, delivering best-in-class profitability. On the left, we show the EBITDA per term gap that we have historically enhanced versus our peers. Compared to the second quarter of 2022, when announced the New Vallourec plan, and I'm pleased to say that we have made significant strides in eliminating this gap. Reflecting on the drivers of this trend, we have done very good work in raising our average selling price, a clear endorsement of the value over volume strategy and our enhanced pricing policy. We see -- we continue to see opportunities on this front by further penetrating high-value markets, for example, via our premiumization program in China. On the other side of the equation, we have executed major cost savings already, but we still have opportunity on this front. Last quarter, we -- out our optimization plan in Brazil. This program will significantly contribute to closing the residual gap. Beyond this, we have significant potential to further integrate and optimize our business. We continue to push towards working as one global organization, and we can continue to better connect sales, production and supply chain with better data and process integration. Putting it all together, we are not finished with our drive to improve our profitability. On the right-hand side, you will see a new metric that we increasingly use in our internal steering, return on invested capital. We are not only working to optimize profit and cash flows but to optimize the way that we manage the capital employed in our business. Since day one of our transformation, we focused on working capital and improving the cash cycle of our business. Optimizing the invested capital, however, also means making decisions to scale back in some areas like our choice to close the plug mill -- that we announced last quarter. It also drives our investment decisions. For example, our successful capacity expansion in Saudi Arabia, our capital projects that will extend all -- critical high-value equipment like our equipment and premium string operations. As we move further and further in the New Vallourec journey, we continue to find new opportunities to mobilize idle capital for the benefit of all stakeholders. Now let's move to our usual discussion of the commercial environment. On Slide 9, we start on the U.S. OCTG market. The horizontal rig count stabilized in the third quarter as both oil and gas directed activity level. The imports have continued to moderate versus the first quarter level, especially when we look at the seamless market. There has been continued action by U.S. trade officials to preserve fair competition in the U.S. OCTG market, and this has driven an ongoing tightening in industry inventory levels. With demand stabilizing and supply tightening, we have seen clear signs of improvement in the U.S. business. Over the past several months, we have seen orders from our customers well in excess of the levels we saw at midyear. In particular, we have experienced strong demand for our high top [ph] connections, which are specially designed for longer lateral wells. This increased demand will support our volume in the first quarter. As a result of this positive market trend, we have seen spot pricing rise in both September and October. Turning to Slide 10. Let's discuss the international OCTG market. The offshore and onshore rig count has been effectively flat since mid-2023, and market pricing has followed roughly the same trend. You will recall that we have been significantly outperforming both the trend and level of international market prices with our value over volume strategy. We have continued to see pricing on our new orders remain at a robust level for the past several quarters. Our portfolio is very well positioned for the current market environment as our premium tubes are essential for gas drilling activity in the Middle East and for all key offshore markets, but particularly those in South America, Africa and the Gulf of Mexico, which we largely reserve from our international exports. Based on what we see today, we're seeing this robust market conditions will assist for the foreseeable future. Let me wrap up the comments on our Tubes business on Slide 11. We announced two meaningful contracts in the quarter, one for TotalEnergies for its Kaminho development in Angola and one for Petrobras for its Sepia 2 and Atapu 2 projects. Both contracts recognize the significant value that Vallourec delivers to our customers and capitalize on our ability to offer both premium products and differentiated services globally. In addition, the U.S. market is showing clear signs of improvement. Our order intake has been strong recently. And according to Pipe Logix, distributor sentiment has increased to levels not seen since mid-2022. We are a bit on the outlook for the U.S. market but remain focused on executing the value of our volume strategy. Because we are receiving orders in excess of our capacity, we are chosen to focus on improving pricing and mix rather than react too quickly with capacity increases. We are also progressing on our optimization program in Brazil. We have implemented a deep focus throughout the organization. Our labor cost savings targets are confirmed. In short, Brazil still has significant potential to grow its contribution to group results over the coming years, which will support our plan to improve our margins and return capital. Let's move to our Mine & Forest segment on Slide 12. As you're likely aware, the global iron ore market softened in the third quarter. This translated in both lower price and lower sales volume. Our production sold in the third quarter was below our expectation at 1.3 million tonnes, which was down slightly versus the second quarter. Base on the ongoing softness in the export market, as well as the effects of the rainy season in Brazil, we are lowering our expectations for our full mine production to approximately 5 million tonnes down from 6 million tonnes previously. Despite this, I am pleased with the progress we have made in our phase 1 mine extension. We have now gained access to the higher quality reserves targeted by this project. Therefore, at current iron ore prices, we expect to deliver full year EBITDA slightly below €100 million of EBITDA in our Mine & Forest segment. Thank you for your attention. I will now hand the call over to Sascha to comment on our financial results.
Sascha Bibert: Thank you, Philippe, and good morning, everyone. Thank you for joining our call. Continuing on Page 14. Our Q3 results were solid when it comes to profitability, while marking the expected the low point in terms of sold EBITDA in this year, an expected EBITDA increase in Q4. In Q3, following a reduction in tonnage sold as well as a slight decrease in the average realized price, revenues and EBITDA declined year-over-year, even though costs were lower across all categories. Against our own expectations, Q3 2024 was a bit shy to draw our volumes and price in the mine, but also due to some technical factors like FX and slightly higher costs for our management equity program. Nevertheless, we reported a group EBITDA margin of close to 19%. We have once again done very well on the cash side with €124 million reduction in net debt quarter-over-quarter. Tubes volumes on Page 15 reduced to 292 kilotons in Q3. Some of the sequential reduction relates to the summer pricing environment in the U.S., which led us to be more cautious on accepting demand. We expect Q4 volumes overall to be stronger once again. We continue to manage our portfolio with the highest discipline, leading to higher realized prices and margins over the cycle. When you look at our average selling price year-over-year, you will see that we have largely compensated the significant price decreases we have faced in the U.S. with higher prices elsewhere. On Page 16, you can see the result of our value over volume strategy as well as the continuing efficiency measures. The Tubes margin and the EBITDA per tonne has stayed flat year-over-year. Let me speak about the Mine & Forest on Page 17. The operating environment in Q3 was challenging, mainly as a result of the economic situation in China. The price of iron ore declined and sea freights to China impacting our customers who are generally export oriented increased reducing their margins. In combination with high inventories in China, demand dropped and also we sold less tonnes than expected. While demand was lower generally, it was especially pronounced for lower-quality ore. Therefore, we concentrated our production on highest qualities, somewhat offsetting the impact from the market price and lower volumes. Turning to Page 18. While Q2 was significantly influenced by effects related to the refinancing, Q3 is more normal. We did, however, realize some disposal gains related to equipment sales in Germany following the dismantling of our site that also supported cash flow. Overall, and similar to cash flow, we are building a track record of positive net income progression. On Page 19. Our third quarter cash flow came in very strong with total cash generation of €130 million for a net debt reduction of €124 million. This development was supported by a sizable release of working capital, especially related to receivables. In addition, we realized some equipment sales in Germany, as I've mentioned a minute ago. Looking at Page 20. This strong cash flow has further decreased our leverage and added to liquidity. Net debt has now decreased for 8 quarters in a row. Philippe, I'm handing back to you.
Philippe Guillemot: Thank you, Sascha. Let's turn to Slide 22 to discuss our outlook for the fourth quarter and full year 2024. Starting with our Tubes business. We expect higher volumes in the fourth quarter due to an increase in both U.S. and international shipments. Our full year outlook is unchanged as we continue to see a strong international market environment, offset by the weaker U.S. market we have experienced year-to-date. Obviously, the recent change in market prices in the U.S. will have more of an impact in 2025 than in 2024. In our Mine & Forest business, we expect volume to decline in the fourth quarter due to both the rainy season impact as well as soft export market conditions. Q3 [ph] production sold is now expected to be slightly more than 5 million tonnes with EBITDA slightly below the €100 million level, assuming iron ore prices consistent with today's level. Group level. We expect EBITDA will increase in the fourth quarter due to the higher tubes sales volume. For the full year, we reiterate our outlook for EBITDA to range between €800 million and €850 million. Finally, we expect net debt to be broadly stable in the fourth quarter versus the third quarter level. Based on the full year cash flow guidance we provided last quarter, you can see that we will spend higher CapEx, restructuring and financial cash out in the fourth quarter, so this will more than offset the increase in EBITDA we anticipate. Overall, second half total cash generation will be strong driven by the results we delivered in the third quarter. To conclude on Slide 23. While we have many successes to celebrate, we remain focused on improving our profitability and return on capital versus our peers regardless of market conditions. Secondly, our market environment remains strong with the international OCTG market, stable at a healthy level and the U.S. showing clear signs of improvement. Finally, we plan to announce a dividend proposal for our 2025 AGM with our full year 2024 results communication in February. Thank you for your attention. Sascha and I are now ready to take your questions.
Operator: Thank you very much Mr. Guillemot [Operator Instructions] Our very first question today is coming from Kevin Roger of Kepler Cheuvreux. Please go ahead.
Kevin Roger: Yes good morning. Thanks for taking the time. I would have two questions, if I may, please. The first one will be on the shareholder remuneration. Over the past few months, we discussed a lot about the possibility around buyback because you did not have the possibility to implement everything on dividend before next AGM. So first question in a sense, is buyback an old solution because of all the new tax environment that we have in France? Or is it still an opportunity that you will consider? And the second follow-up on shareholder remuneration. When you say that you will decide on a dividend at the full year earnings, will it be a decision in regards of Q3 2024 cash, because Q4 will be flat? Or also considering the 2025 expectation that you have internally on cash flow generation? That will be the first element on the shareholder remuneration, please. And the second one, if we had to project a bit of sales early next year, you mentioned in the different remarks that U.S. volumes have picked up that will be positive in Q1 2025 deliveries, pricing is increasing, that international activities are expected to remain robust and, let's say, flattish. So is it fair to assume that Q1 EBITDA should also improve compared to Q4, please?
Philippe Guillemot: Thank you, Kevin, for your questions. So shareholder return, yes. Obviously we never exclude any ways to return total excess cash to shareholders. You're right, I think there is obviously still an unknown on how share buyback will be taxed in the future in France. And in our case, we know that if what has been announced is implemented, we would be severely taxed. So obviously, it -- it's obviously weakened. I think we can, obviously, this as a way to return. Nevertheless, what we want with our recommendation is just to confirm what we said last quarter. There will be a return starting from Q3. I think every total cash generation has -- will be returned to shareholders between the payout of 80% to 100%. At minimum, and you're right, announcing in February, the dividend amount that will be -- to be approved at the AGM means that at minimum, it will be what will be available after Q3, which is fairly good. And Q4, as you said, expected flat as far as net debt is concerned. So that's a good reading. But again, we talk about -- we go step by step. We are very conservative people, very serious on our balance sheet management. So it's a step-by-step process. If you put things in perspective, in less than three years we have gone from a quasi-bankruptcy to return to shareholders, and we want sustainable returns to shareholders. As far as -- yes, the profile of the sales and the EBITDA, I won't obviously give you any guidance for Q1 EBITDA next year, as you can expect. It's true that -- it's nice to see that U.S. volumes are picking up in Q4 and likely hopefully, the same in Q1, we expect. And for prices, what we book today will be the price of our invoicing in Q1 next year. So we are a bit on U-shaped profile, if I could say so, between the end of this year and the beginning of next year as far as the activity is concerned.
Kevin Roger: Okay, thanks a lot.
Operator: Thank you very much sir. Our next question will be coming from Daniel Thomson of Exane. Please go ahead.
Daniel Thomson: Hi, good morning. Thanks for taking my questions. Yes, firstly, I know it's early days from the U.S. election, but I was just wondering on how you're seeing -- if we have increased trade restrictions there, where does the exports from Asia that aren't finding the ways to the market? Are they then finding their way to the Middle East and other regions and maybe causing some downside risk to pricing in international? And then on the U.S. market, just a clarification. We've obviously heard a lot about the efficiency gains that operators are making. If we had a flat rig count next year, what do you think that would mean for end market demand in the U.S. and your volumes there? Thanks.
Philippe Guillemot: Well, as we commented, we have seen order intake increasing in the last few months, and this is even before the election. So I think we are already on a positive momentum, both on volume and pricing in the U.S. We -- what we sell on the domestic in the U.S. is produced in the U.S. So obviously, we are in a great position to benefit from any trade buyers on the U.S. market. And by the way, you have noticed that they have even increased in Q3 for imports from Thailand, as an example, and even Korea has reduced its imports. So for us, all this is -- it was a good news. Will operators increase production as a consequence, investment? We'll see. There is maybe one area where we could see a change. It could be on gas-directed activity, which is a portion of our activity, and obviously, in Gulf of Mexico. But more to come. Anyway, we are -- yes, we only see positive news in the current momentum in the U.S. market.
Sascha Bibert: Maybe, Daniel, I can add to your question regarding what happens to volumes from Asia or wherever, that may not find their home in the U.S. I just remind you that the product mix and the requirements for U.S. onshore are generally -- trend to the requirements. We serve elsewhere, which is mainly offshore related. So it has a different complexity. So I don't think that there will be a competition one-for-one. When it comes to your efficiency question in the scenario of having a flat rig count, I would just highlight that the efficiencies are generally realized above ground. That said, longer laterals are generally a positive for our business. We see that in the specific demand we have our -- for our products with high torque capabilities, something that we expect to increase going forward.
Daniel Thomson: Okay, that’s helpful color. Thank you.
Operator: Thank you very much, Mr. Thomson. [Operator Instructions] We'll now move to Jean-Luc Romain of CIC Market Solutions. Please go ahead.
Jean-Luc Romain: Yes, good morning. You were mentioning longer laterals. We also see kind of horizontal wells making U turns to cover more ground. How much of increased events do you believe is linked to the increasing lateral length of the wells compared to the number of wells which are drilled?
Philippe Guillemot: Yes. I know the whole industry was very much focused on the rig count, which may be less and less a good proxy for our activity. What matters is obviously the tonnes of tubes. And this is the value of the tubes, which are needed for our operators. But longer laterals is good news for us because it requires more tonnes. And on top, as Sascha mentioned [Indiscernible] connections, which obviously, we have and we continue to develop. So it's even improving the mix. So yes.
Operator: Okay, I believe that would answer the question. Next question will be coming from Jamie Franklin of Jefferies. Please go ahead.
Jamie Franklin: Hi guys, thanks for taking my questions. Just two quick ones from me. So firstly, if there's just any update on the disposals? And second question, just on the mine. So the phase 1 extension, which sounds like it's progressing well. Is the expectation still for that to provide an incremental €20 million to €25 million EBITDA next year? And would the full impact of that kick in from 2025? Thanks.
Philippe Guillemot: On the disposal, so progress is still going on. I think I have no more comment to make. I think you can say it's a 3-party discussions between Vallourec, the city of Dusseldorf and potential developers. So I won't comment on the discussions, but they are going on. Keep in mind that the hat [ph] land is a large property, 900,000 square meters. So obviously, it's more difficult. Obviously, it's a more difficult sales process than the one of Marine, which was executed last year. And we are obviously paying careful attention to, obviously, the value at which we will be able to dispose of this asset. As far as the phase 1 of the mine is concerned, yes, for sure, I think the extension is progressing well. The good news is that our assumptions on the quality of the iron ore we can access to is more than confirmed which is good. But as we said, to comment our Q3 numbers, we are in the overall iron ore market environment with less shipment because of less demand. And on top, the iron ore price has decreased. So obviously, this obviously will lead to likely a reset of our expectation for next year. But I won't comment more on next year.
Jamie Franklin: Thank you.
Operator: Thank you, Mr. Franklin. [Operator Instructions] We'll now move to Baptiste Lebacq of ODDO BHF. Please go ahead.
Baptiste Lebacq: Yes, good morning. Thanks for taking my questions. I have one question dedicated to disposals of equipment that you mentioned and registered in Q3. I know it's quite complicated. But in Q4, will you have, let's say, the same steel [ph] of impact? Or you already sold the equipment that were on sale? Thank you for your return. Thank you.
Philippe Guillemot: Okay, Sascha?
Sascha Bibert: At least, I would say, possible, but on a minor level.
Baptiste Lebacq: Okay, thank you Sascha.
Operator: Thank you, Lebacq. [Operator Instructions] Okay. We do not appear to have any further questions coming in at this time. I'll turn the call back over to Mr. Guillemot, for any additional or closing remarks. Thank you.
Philippe Guillemot: Thank you. Thank you, again for joining us for today's call. I just would like to leave you with the following thoughts. We continue to have significant opportunities to change Vallourec for the better. Our core markets are strong. We are pleased to be in a position to distribute our excess cash flow to our shareholders, and we confirm our intention to pay what will be Vallourec first dividend in 10 years in 2025. Thank you again. Operator, you may close the call.
Operator: Thank very much, sir. Ladies and gentlemen, that will conclude today's conference. Thank you attendance. You may now disconnect. Have a good day, and goodbye.